Operator: Good day, ladies and gentlemen and welcome to the first quarter 2008 Universal Forest Products Incorporated earnings conference call. (Operator Instructions) I would now like to turn the presentation over to our host for today's call Ms. Lynn Afendoulis, Director of Communications. Please proceed.
Lynn Afendoulis: Thank you, good morning and welcome to Universal Forest Products first quarter 2008 conference call. On the call today are Executive Chairman, William G. Currie; CEO and President Michael B. Glenn and CFO Michael Cole. Please be aware that any statements included in this call that are not historical are forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements are based on the beliefs of the company’s management as well as on assumptions made by and information currently available to the company at the time such statements were made. The company does not undertake to update forward-looking statements to reflect facts, circumstances, assumptions or events that occur after the date the forward-looking statements are made. Actual results could differ materially from those included in such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainty. Among the factors that could cause actual results to differ materially are the following: adverse lumber market trends, competitive activity, negative economic trends, government regulations and weather. These risk factors and additional information are included in the company’s reports on Form 10-K and 10-Q on file with the Securities and Exchange Commission. This call is the property of Universal Forest Products. Any redistribution, retransmission or re-broadcast of this call in any form without the expressed written consent of Universal is strictly prohibited. At this time I would like to turn the call over to Bill Currie.
William Currie: Thank you, Lynn. Good morning everyone and thanks for joining our first quarter Universal Forest Products conference call. We appreciate your interest and we appreciate your support. Our first quarter results are disappointing. We're not used to losing money and we don’t like it. As a matter of fact in my 38 year career with the company, except for maybe one other quarter many years ago, these last two quarters are the only ones where we ever lost money. Here is how it went down: January was devastating. We lost all the money for the quarter in January and that was due to absolutely horrible weather across the country, no ability to operator-ship, no one wanting inventory and very low consumer confidence. February started to get a little better, we about broke even. In March we made some money. We thought we are going to make enough in March to pull the quarter out, but got blasted the last two weeks with heavy ice and snow and wind and whatever else the good Lord decided to give us and it busted our opportunity to have a positive quarter; but the sun’s out now. We like what we see. We are not changing our guidance for the year. We picked up a lot of new business. We further diversified our markets and our product mix and we think there will be recovery, in the lumber market in the third and fourth quarter this year. Now before Mike Glenn, gets into depth on the details on everything we have done and we’re doing. I will turn the call over to Mike Cole to go through the numbers. Mike?
Michael Cole : Thanks Bill. I will start by reviewing our income statement for the quarter. As you noticed in the press release, our total sales for the quarter decreased by 11%. We estimate this was comprised of a 5% decrease in unit sales and a 6% decline in overall selling prices due to a soft lumber market and pricing pressure in the site-built market. Reviewing by market, our sales for the DIY market decreased 12% compared to the first quarter of last year, primarily due to a decline in unit sales as a result to the effect of the housing markets and a decline in consumer spending. Our sales for the manufactured housing markets decreased 14% for the quarter primarily due to a decrease in unit sales. While HUD-code shipments were slightly up through February we believed modular production declined significantly this quarter. Our sales to the site-built construction market decreased 21% this quarter, due to an estimated 12% decrease in unit sales and a 9% decrease in our average selling prices due to a soft lumber market and intense pricing pressure. Single-family housing starts through March were also reported 39%. We’ve been able to mitigate some of the challenges of the single-family market and our volume by pursuing multi-family and like commercial business and increasing our turnkey framing activities. Finally our sales to the industrial market increased by 5% for the quarter primarily due to a 12% increase in unit sales. Unit sales growth this quarter was a result of acquisition and continuing to gain market share and add new customers, including concrete forming. Moving down the income statement, our first quarter gross margin decreased to 11.2% from 13.4% last year and our gross profit dollars decreased 25%. These declines were primarily due to greater pricing pressures due to the -- due to market conditions particularly and sales for site-built. Lower unit sales out of existing plans and fixed manufacturing costs and much higher transportation costs. Selling, general and administrative expenses decreased by over $4.1 million for the quarter. Acquired operations added $900,000 to SG&A. Closed operations reduced expenses by $3.4 million and existing operations decreased by $1.6 million. The decrease in existing locations was primarily due to decreases in wages and incentives totaling $3.5 million, partially offset by increases in severances and other cost. Our effective tax rate was a 43% credit this quarter. This year’s rate was impacted by the research and development tax credit that’s still waiting legislative approval for 2007 and a tax benefit from foreclosing and a note receivable with one of our joint ventures. Moving onto our income statement, our cash flow from operations was a negative $5.4 million for the first quarter. A net loss of $4.6 million included $12.5 million in non-cash expenses, which were offset by $13.3 million increase in working capital. Working capital increases were primarily due to a slight increase in our receivable cycle and seasonal increases in our receivables and inventory levels. On our last call, we told you we intended to curtail our capital expenditures this year, which we did and they decreased to $5.6 million for the quarter. Business acquisitions for the quarter totaled $14.1 million, primarily for the purchase of the stock of International Wood Industries, a large wood packaging manufacturer which services California, Oregon, Alaska and Hawaii. During the first quarter, we completed the sale of Idaho real estate and Medley, Florida and Thorndale, Ontario for approximately $26.7 million, which was previously classified as held for sale in our balance sheet. A couple of points I would like to make about the balance sheet. During the quarter we closed two more facilities in Fishersville, Virginia and Dallas, Texas and have classified the network value of those properties that’s held for sale. We believed the fair market value of each of these facilities exceeds its net book values as known impairment was recorded. Included in long-term debt there was $43.7 million outstanding on our five-year credit facility, which has remaining availability of $225 million after considering the amount outstanding and amounts reserved for letters of credit. That completes my comments on the financials Bill.
William Currie: Thank you, very much Mike. Now Mike Glenn, will give you the business update. Mike?
Michael Glenn: Thanks Bill. Like Bill said, I don’t like where our markets are either. They are fragile and they react to the tiniest bit of news or movement. We had a couple of things to deal with in the first quarter; very depressed lumber market that’s trading at 90 and 85 levels; oil prices that are affecting our freight and raw material costs and a soft economy, but we're focused on the things that we can impact, that will result in a positive long-term change. For example, we're focused on our industrial business, which continues to grow by double-digits. We are focused on making sure we are always size right for our business opportunities. Because of that today we are lean and strong and working side-by-side with our customers in all markets to help them achieve the same thing. We are focused and growing our commercial and multi-family construction, which has helped us create a better balance in the site-built construction and help minimize losses in the first quarter. Because their financial position is strong and our business model offers us the opportunity in many market not just one, we are confident in our future, but we look forward to put in these tough years behind us. Let’s go through a brief review of our markets starting with site-built. Single-family housing is weak and will stay that way for the year. Our sales were up 21% in site-built; our single-family housing starts were off 39% through February. Our focus on light commercial and multi-family housing construction and our framing operations, we are able to perform better than the market, is because both of those areas saw growth during the first quarter. We intend to continue this focus, a balance between single-family, multi-family and light commercial. We’ve also had to deal with intent price pressure from builders. That had a tough impact on our margin, but we are not always willing to cut prices to the extent they had asked and when customers leave us for price, they often comeback for quality and service. We continued to serve strong customers in these tough times. In fact, three home builders were among our top 10 customers for the quarter and we look forward to growing with them in healthier times. Looking ahead, most analysts expect recover to begin sometime in mid-2009 and we agree. We also believe, that the markets will return to a more modest, but sustainable pace of growth. It won’t surprised me to see some players exit the market and when that happens, we will see some relief in price pressures and we will have the opportunity for even more business when housing rebounds and we will keep our focus on the things that can bring us success; light commercial and multi-family construction and turnkey sales with our framing operations. Now let’s look at do-it-yourself. Weather and weak consumer demand made up the story in this market. Weather in the first quarter was tough and we needed this break in weather. Our book of business is good and we have gained nice market share, but because of the weather, the early Easter, spring breaks, orders from March were pushed into April and as the weather has improved so is our business. Margins aren’t quite where we like them to be, but we are improving. So, what’s our outlook for DIY, we expect it to remain soft for the year, but we expect to maintain a strong market share. We expect this business to tick up in 2009 and beyond as home ownership and turnover begin to increase again. We continue to look for our new opportunities with new products and new territory and with new customers. We’re also hoping that the Federal Tax Rebate Program which will soon put cash in the pockets of American tax payers will help boost sales in the early summer. We have a strong portfolio of outdoor living products and we continue to be well positioned as the largest wood trader in America. We have a solid relationship with the big box and independent customers from coast-to-coast and we have a nationwide footprint with strong purchasing power that will allow Universal to serve customers better than anyone in the country. Now let’s look at manufacturing and housing. As Mike Cole mentioned earlier, HUD-code shipments were up slightly through February, but we believe modular production was off significantly, in fact as much as 50% in some markets. COI production grew more, but modular housing is where we had stronger margins. The market remains weak and we believe it will stay that only for a while, but we also believed it’s a viable market in the long-term that provides a affordable housing to people in lower income brackets and site-built housing prices begin to rise again making manufacturer and housing relatively more affordable and when more favorable financing is available, we will see this business pick-up. We hope the finance and reform package pass Congress because we believe it will have a very positive impact on sales. Now let’s move to the bright spot; industrial. I know I sound like a broken record, but I love this business. There is no end to the opportunity in this business. We continue to devote more engineering, manufacturing and sales resources of this market and we’re adding new customers all the time. We’re building packaging in crates from everything from elevators to bear, from airplane wings to elements. We added 186 new customers in the quarter. Early last year we got started in concrete forming business, which is seeing early in promising success. Many of the areas that we are pursuing in this area such as hotels, parking garages, bridges, arenas, manufacturing facilities saw a year-to-date growth as of February 2008. We model that concrete forming organization structure, after our successful industrial operations and we are going after national customers, who are hungry for a nationwide supplier to serve them in multiple locations. Looking ahead, we continue to see opportunity for strong growth in this market. We are adding capacity in many plants and increasing our sales power and keeping our eyes open for acquisition opportunities. So that’s our business update and outlook. We believe single-family housing will remain weak in 2008 and the turnaround will begin sometime in 2009. We believe consumer spending will remain soft. Our markets are fragile and uncertain, but our position is anything, but we’ve remained focused, optimistic and working on the success of customers in each of our markets. We are focused on creating a balance in our site-built market by growing our business with multi-family and commercial construction customers. We are also focused on creating and growing a culture of continuous improvement versus enhancing our plans and operations nationwide. It’s a journey we are committed to and one that’s having a visible and real impact on our operations people. We are optimistic, we are excited, we are working hard and every success is sweeter than it might have been given the state of our market and economy. We are grateful for this good weather, so people can start building houses again and working on outdoor projects.
William Currie: Thank you, Mike and thank all of you for listening to what we had to say, we are going to open the phone lines now for questions and as usual we will try to answer them honestly and candidly. So, if we have a question, let’s start.
Operator: (Operator Instructions) Your first question will come from the line of Robert Kelly, representing Sidoti & Company. Please proceed.
William Currie : Good morning Robert.
Robert Kelly - Sidoti & Company: Good morning, thanks for taking my question. First, off the sequential improvement in gross margins 1Q versus 4Q, can you quantify that?
William Currie : You mean Q4 versus Q1?
Robert Kelly - Sidoti & Company: Yes, 1Q gross margin was up versus 4Q despite the sales decline. What were the drivers there?
William Currie : Sales mix is certainly a part of that. Continuous improvement, efforts have been a part of that and we have made changes in our cost structure and probably done a better job of aligning our cost structure in the first quarter versus volume. Those are probably the biggest two drivers.
Robert Kelly - Sidoti & Company: Was there any benefit from the closures and idling that you did in 4Q? Did that start to show up?
William Currie : Sure.
Robert Kelly - Sidoti & Company: Okay good.
William Currie : That’s the next part of that answer.
Robert Kelly - Sidoti & Company: And then just secondly on the spring selling season, has that gotten off to a good start, maybe just and so on how you view the market entering April.
William Currie : That was just for March or April?
Robert Kelly - Sidoti & Company: Yeah, sequentially and maybe year-over-year.
William Currie : Robert, it’s --
Michael Cole: A month late --
William Currie : Yeah, like we have mentioned earlier. We typically see the start to the DIY business in late March. Usually what happens is the big boxes start loading up their distribution centers and their plants -- I mean their stores to get ready for the spring buys, but because we believe first of all, because the weather was so severe and because a lot of people are worried about the inventories, they didn’t take that position in early March but took it in early April. So things got pushed back a couple of weeks and weather kind of pushed things back but when the weather is good, we are seeing good sales results. The one area that –- I’ll come to that, we’ll tell you, is just not performing well as Florida.
Robert Kelly - Sidoti & Company: Finally on the SG&A line, the decline year-over-year of about $5 million; what was the offset there? Was it just layoffs?
William Currie : Our existing locations was just $3.5 million I believe. That was the salaries, wages, incentives were all down versus last year that is offset by severances was a big number and bad debt expense is up a little bit in several other small areas.
Robert Kelly - Sidoti & Company - Analyst: Are the severances in all that just a Q1 issued? Does that kind of go away beginning 2Q?
Michael Cole : I wouldn’t expect a number like that in Q2 and forward.
Robert Kelly - Sidoti & Company : Okay, great thanks guys.
William Currie: Thanks Robert
Operator: The next question comes from the line of Tom Hayes representing Piper Jeffery. Please proceed.
Tom Hayes - Piper Jeffery : Good morning gentlemen.
William Currie : Hey, Tom.
Michael Cole : Tommy, how are you?
Tom Hayes - Piper Jeffery : You had mentioned that you are looking for -- I guess it was kind of a continued difficulties in the site-built. I was just wondering if you could give maybe a little more detail on what you are seeing as far as what’s embedded in your forecast for that market as far as what the housing is going to do?
William Currie : Tom, we think what everybody’s calling the housing starts for the year are pretty accurate. There’s ways around it. First of all we have right sized our businesses in every single area that we are in and secondly we have picked up substantial multi-family and light commercial business and we’ve really ramped-up our framing businesses. So, we are not near as afraid of the site-built segment going through the next two quarters, next three quarters as we were moving into the last two. It’s not going to be a great business for us, but we think we can make it on something that isn’t -- doesn’t ruin our year.
Tom Hayes - Piper Jeffery: Okay great. I guess secondly because there is news everyday about some of the financial troubles of the builders. I was just wondering if you are seeing any of the flow through as far as any potential AR aging problems?
Michael Cole : It’s always a battle, to try to work on the DSO and keeping that percent current, our day sales outstanding and that percent current where you need it to be. So, it’s a constant battle and we continue to focus on it with a lot energy and from a write off standpoint thus far we haven’t had much, so, we’ve managed that area pretty well, but, an area we got to continue to focus on.
Tom Hayes - Piper Jeffery: Okay great and then, I guess, lastly if you could just give a little color -- I mean you had mentioned that on color a restrained look into ’08 as far as the CapEx. Please give us some general guidance of what do you thought for your expectations uses for free cash flow would be?
Michael Cole : Look for CapEx, we certainly are going to be in that $20 million to $25 million range for our free cash flow. Right now, we are probably just continued to do debt reduction and stay cautious on our balance sheet and then keep our eye open for opportunities.
Tom Hayes - Piper Jeffery: Great. Thank you.
Michael Cole : Thanks Tom.
Operator: The next question will come from the line of Keith Johnson, representing Morgan Keegan. Please proceed.
Keith Johnson - Morgan Keegan & Company, Inc.: Good morning.
William Currie : Good morning
William Currie : Good morning Keith.
Keith Johnson - Morgan, Keegan & Company, Inc.: I just got a list of the questions that I had are just a couple of quick ones here. You made a comment if I heard it correctly that your thought that the lumber price trends may start to improve in Q3, Q4. I heard that correctly in your opening?
William Currie : Yes. Yes, you heard that correctly. Here is what we see happening.
Keith Johnson - Morgan, Keegan & Company, Inc.: Okay.
William Currie : Suppliers getting really is getting really slashed.
Keith Johnson - Morgan, Keegan & Company, Inc.: Okay.
William Currie : Almost every single major primary producer is closing mills, is reducing shifts, is reducing production. Most of the time, what happens in these kind of cycles, is everybody overdoes it a little bit. On the side of cautiousness they over do it and then, when there is a small increase in demand, it usually means of a pretty good price recovery.
Keith Johnson - Morgan, Keegan & Company, Inc.: Okay.
William Currie : And that is what we are seeing, that is what we watched over the years and over the sequential downturns in the market, and that is what we feel is going to happen in the third and fourth quarter this year. We like to think we’ll start to see some better pricing on the lumber side, because there has to be. These guys are burning -- these guys are burning money, these primary mills are burning money at the very high rate, so they have got a limit production and we see some recovery in that lumber business by the end of the year.
Keith Johnson - Morgan, Keegan & Company, Inc.: Okay. Do you have a any figures on kind of year-over-year basis, how much lumber or estimate the lumber productions may cause so far, where we are?
William Currie : We don’t have an estimate, but we are very close to most of the primary producers and we know how much they’ve got in its very substantial.
Keith Johnson - Morgan, Keegan & Company, Inc. : Okay. On the manufactured housing side, the HUD-code homes maybe a slight increase coming through I think you said February?
William Currie : Right.
Keith Johnson - Morgan, Keegan & Company, Inc.: You think this is kind of a trend finally for this market that may, kind of keep going or just maybe one quarter aberration.
William Currie : We are always seeing people going to more of affordable home, which should be the low end HUD homes. The modular business I think is directly tied to the single-family housing…
Keith Johnson - Morgan, Keegan & Company, Inc. : Okay.
William Currie : So, we anticipate that business kind of staying down for quite a while, which is a little disappointing, but, the HUD business -- if we get this financing package through here we anticipated pretty good picked up in HUD.
Keith Johnson - Morgan, Keegan & Company, Inc. : Okay. Then, I guess just one last question. You talked a lot about weather impact in the March quarter. Is there a broad way to give, kind of a revenue quantification and that it may have shifted or potentially shifted into the second quarter?
William Currie : Well, you know the best way we can answer to this, Bill mentioned that we were tracking really well in March and we thought that we’ve thought we’re going to pull out the quarter and then the last two weeks whether it was the weather or Easter or spring break, all those had an impact and what we saw our sales to the DIY business on the last two weeks -- two and a half weeks of March dropped by over $10 million a week.
Keith Johnson - Morgan, Keegan & Company, Inc. : Okay. All right and when you say pullout the quarter, I mean are you saying that you had this -- had the weather situation like we did that we would have been back to breakeven or actually profitable in the first quarter?
William Currie : We think that is, if the weather stayed good and the Easter had been in April like a trip traditionally as, we would have been breakeven or a small loss.
Keith Johnson - Morgan, Keegan & Company, Inc. : Okay. All right, thanks a lot.
Operator: Your next question will come from the line of Jay McCanless representing FTN Midwest. Please proceed.
William Currie : Good morning Jay.
Michael Cole : Hi Jay.
Jay McCanless - FTN Midwest : Good morning, good morning. Thanks for taking my question. I guess four of them for you; first one, with the pick up we saw in this quarter in industrial and also in the concrete forming, which you talked about. It seems to indicate that you also believe the commercial and multi-family should do well, how sustainable do you think that is and what kind of timeframe, would you give around that?
William Currie : Well the multi-family, I think is going to stay pretty strong for a while. We got to have a place for people live and then right now you can’t get into the hound, so we have seen a lot of multi-family come up. We think it’s certainly good well into 2009. The industrial business and concrete forming business -- it just seems like every month we are finding new business and I don’t know it is a -- the business we are finding use to be in the neighborhood of $10,000 accounts, now we are finding a million and multi-million dollar accounts. The spread is incredible across the country.
Jay McCanless - FTN Midwest : Great and then, you have talked a little bit about in your prepared comments about potentially competitors falling out in the field is -- are you seeing a trend of that in that an accelerating trend, can you give any color on that?
William Currie : Well, we can without talking specifically about any of them that are some of them who are closing 20 and 30 operations, 40 operations at a time. A lot of them have left the state of Florida. We wouldn’t be surprised if one or two of them are here when we have this conversation a couple of quarters from now.
Jay McCanless - FTN Midwest : Okay and then on the DIY business, what -- if you look at the invoices you were writing to them last year versus what’s you are writing and them this year, have you seen a change in either the number of items that they are ordering or in terms of the price points that they are going to -- just trying to get a feel for how the DIY companies are going to be buying product from you all and also as stocking their own shells for the spring season?
William Currie : Well, we typically deliver to the DIY. Our trucks could have anywhere from three to 15 items on the truck different skews. So, as far as we are concerned in, the more different items they put on the truck, the better is for us. They want to turn their inventory more and our yards is set up with the -- to be able to handle that. The answer you -- to further answer to your question, we are seeing more skews on the trucks, so they can get better returns.
Jay McCanless - FTN Midwest: Okay, great and then my last question what’s the actual facility count this year, I guess, is at the end of the first quarter versus the same facility count last year or a facility count, the same quarter last year?
William Currie : We have 14 less plants.
Jay McCanless - FTN Midwest: Okay, great. Thanks guys, great quarter.
William Currie : Thank you.
Operator: Your next question will come from the line of Steve Chercover representing D. A. Davidson. Please proceed.
Steven Chercover - D. A. Davidson & Co: Hi, Steve.
William Currie : Hi, you’re up early out there.
Steven Chercover – D.A. Davidson & Co. : We’re always up early; it’s our cross to bear in Oregon. First question please, it’s good to hear that the things were chugging along in early March too bad it fell off. So, now we’re half way through April, did it pickup as soon as the weather got better?
William Currie : We probably aren’t supposed to talk about that, but we are liking what we’re seeing.
Steven Chercover – D.A. Davidson & Co. : So you are back in that pace of early March?
William Currie : We love the sun.
Steven Chercover – D.A. Davidson & Co. : Okay, we all do that. Now, switching gears, your projections for the full-year, did they discount the incremental weakness we have see in housing starts and permits that we saw yesterday for instance.
William Currie : I’m not sure I’m following Steve.
Steven Chercover – D.A. Davidson & Co. : Well, housing starts and permits continue to trend down, and I just want to ensure that the guidance that you given us so far, discounts had starts below 1 million for instance.
William Currie : Yeah, I think Steve that the thing that is more the surprise was kind of the weather and the impact of the DIY market and the housing market at this point.
Steven Chercover – D.A. Davidson & Co.: Okay. Thanks Mike.
William Currie : And we expected and have adjusted accordingly I guess for housing and for manufactured housing, being what they are, so a kind of the fall off in the second half of March is the thing that was more to surprise and right now we are optimistic we can get a lot of that back and also with respect to the targets something we haven’t talked about is that acquisition with International Wood Industries is very seasonal and so we really haven’t seen any of the sale impact and profit impact of that for that transaction and they really start having a lot of sales and profit beginning in May.
Steven Chercover – D.A. Davidson & Co. : That’s good. Okay, final question it makes a lot of sense to balance your business more to multi-family and some like commercial, but, is there any risk with the chase associated with chasing light commercial, particularly if it falls off next?
William Currie : I am sorry Steve we had something happened here, we didn’t quite catch that question would you mind asking that one again?
Steven Chercover – D.A. Davidson & Co.: Sure, just is there any risk associated with chasing some of the light commercial business if it’s the next shoe to drop in terms of overall construction in the U.S.
William Currie : Steve it’s all about balance, okay. It’s about balance. What we’re trying to do is take our site-built business plan and allow for a certain percentage, not 100% of any segment. A certain percentage to multi-family which the small amount of market share that we have, we ought to be able to maintain our percentage of multi-family. A percentage of light commercial, a percentage of custom builders, a percentage of regional builders and a percentage of national production builders and we feel if we can keep that modeled in place, that we can right size the plans to manage the business that’s available in the various regions where we operate.
Steven Chercover – D.A. Davidson & Co. : Okay so chasing that business is really not very costly, but it does give you much kind of better platform for future cycle is that the way it looks like?
William Currie : Exactly right.
Steven Chercover – D.A. Davidson & Co.: Great, well thanks so much.
William Currie : Thank you.
Operator: Your final question will come from the line of David Liebowitz representing Burnham Securities. Please proceed.
William Currie : Hi, David.
David Liebowitz – Burnham Securities: Hi, good morning. A couple of brief items and I was late to the call. I apologize if you address it in your formal remarks. First given the terrible state of housing, which you projected going to continue into ’09, do you believe the five year guidance you had given us or the five year game plan that you have pronounced a year or so ago, is still a viable set of challenges or is that beyond reach?
William Currie : I think, what we’ve said was, we were going to -- we are going to evaluate that mid year and come out and give guidance after that.
David Liebowitz – Burnham Securities: Okay. I apologize again for being late on that. My second question, in terms of the Florida market that you just alluded to and others like it, are you going to be acquiring some of the companies that are going to fall by the wayside or you going to be able to expand on your own, and pickup their share of market without having to make acquisitions?
William Currie : Yeah, we are not going to any expansion in Florida. We have a -- we made the big acquisition down to Miami, and we have a nice presence with our site-built operations. We have marked bold a couple of them, so if we need to gear those two back up, we can but we are not going pick up any of the other flocks.
David Liebowitz – Burnham Securities: Okay and there was an item in the paper the other day that they’re predicting -- the same guys have told this for the last five years, there are going to be a lot of hurricanes, they are back to it again this year. Were they in fact to be right, would a big hurricane season be helpful to your business because of all the repair?
William Currie : We have a hurricane -- what do you call it Mike? We have a hurricane, special inventory that we keep prepared for some of our big customers down there and some of our Caribbean customers to make sure that we are prepared with the proper products in the event there is a heavy hurricane season.
David Liebowitz – Burnham Securities: Okay and the last question. What is your biggest concern at the moment looking over the next three or fourth quarters?
William Currie : Yeah, I would say probably consumer spending.
David Liebowitz – Burnham Securities: Thank you very much.
Operator: We have another question from the line of Jason Loeb representing Lord Abbett. Please proceed.
William Currie : Good morning Jason.
Michael Cole : Hi, Jason.
Jason Loeb - Lord Abbett:
William Currie : The big scare is of course in the home building business and remember that there are opportunities; there are lean rights on any kind of a residential or commercial site-built property and we have an entire team that is very active in making sure that we don’t have any large credit losses. I think I’ll just leave it to that. If you take a look at our 40 year history on receivables and how well we manage our collections it’s a major focus for us and we measure customers on how fast they pay, not on how much they buy, we always have and we are very, very diligent in that area.
Jason Loeb - Lord Abbett: Great. Thanks guys.
Operator: There are no further questions at this time. I would now like to turn the call back to Mr. Bill Currie for closing remarks.
William Currie : Okay guys, thanks again for being part of our call, and for the great questions and for the support. We are going to get back to block it and tackling and making sure that we can come out with some good results for you. So, I wish you all a very good year and I hope that we have the same. Thank you.